Operator: Thank you all for standing by, and welcome to the Viad, Corp. Fourth Quarter Earnings Conference Call. At this time all participants will be in a listen-only mode. [Operator Instructions] This call is being recorded. If you object, you may disconnect at this point. Now I'll turn the meeting over to your host, Ms. Carrie Long. You may begin.
Carrie Long: Thank you and good afternoon for those of you on the call and thanks for joining us today. During the call, you'll be hearing from Steve Moster, our President and CEO; and Ellen Ingersoll, our Chief Financial Officer. Before we get started, I'd like to remind you, certain statements made during this call, which are not historical facts, may constitute forward-looking statements. Information concerning business and other risk factors that could cause actual results to materially differ from those in the forward-looking statements can be found in our annual and quarterly reports filed with the SEC. We'll be referring to certain non-GAAP measures during the call, including income or loss before other items, adjusted segment EBITDA and adjusted segment operating income or loss. These measures exclude restructuring and impairment charges or recoveries, acquisition transaction-related and integration costs as well as FlyOver Iceland start-up costs as appropriate. Important disclosures regarding these measures, including reconciliations to net income attributable to Viad, can be found in Table 2 of our earnings press release, which is available on www.viad.com. Now, I'll turn the call over to Steve.
Steve Moster: Thank you for joining us on today's call. We are delivered fourth quarter revenue growth of 7.1% that exceeded the high end of our prior guidance range. Our adjusted segment EBITDA improved by $7.2 million versus the 2017 fourth quarter.  The higher than expected revenue was driven by GES, although we did see strong throughput on the year-over-year revenue increase. It was lower than we previously anticipated primarily due to the mix of revenue at GES. GES had some real bright spots during the quarter, like strong growth in our revenue from corporate clients, but there are also areas where we missed our margin expectation in some cases due to external factors like labor supply and medical claims. In other cases where quite frankly we had missed opportunities and could have delivered better results. For the full year, our consolidated revenue was essentially flat to 2017, as growth at Pursuit and favorable exchange rate variances were offset by expected negative show rotation at GES. At GES, we continue to strengthen our product and service offerings as we strive to become the preferred global full service provider for live events. Our award winning services are some of the most comprehensive in the industry and we continue to see more clients select us for an expanded array of services. In addition to the increased scope of work our engagement with clients is moving up the value change as increasingly we are participating in strategy and planning discussions. One of the major themes emerging in our space is the need to drive engaging an immersive experiences that events. With an enhanced set of offering and our Global Reach, our teams are delivering unique and seamless experiences for some of the world's leading show organizers and corporate brands. One such example is our engagement with Northwestern Mutual. Following our successful work for its Annual Meeting last year the client expanded our relationship to include a multi-event program, consisting of event strategy, audiovisual and production services. In another instance, we were appointed as a general service contractor for the 2019, occurrence of Sibos a global financial services networking event through a competitive tender process.  Our global reach in great track record producing Sibos in North America, enabled us to secure the 2019 event in London, this September. We also continue to gain traction and build market awareness with corporate brand marketers. We're already working with some leading corporate brands like Tableau, Mary Kay, Dell and Janus. And for 2019, we've already won three corporate clients, [indiscernible], a leading medical device company and Genesis. For [indiscernible], we will be providing strategic consulting creative exhibit design and build and logistics movement management services for domestic exhibition program as well as its private client events. And for the medical device company, we will be providing similar services for a 12 show programs supporting its Emergency Health division. In both cases we were chosen based on our global capabilities, creative insight and innovative technology platform. For Genesis, we will be delivering a multi-city corporate event program aimed at training its sales force on the highlights of its newly launched in G70. During this 13-city tour, we will be providing audio and video production for the general sessions and breakout rooms as well as high-end audiovisual equipment for the registration area. Corporate events represent a large and important market opportunity for us and we continue to focus on leveraging our existing capabilities and making smart investments to drive growth at an accelerated pace. One of the key investments we made to facilitate growth in corporate events, was the acquisition of audiovisual production service provider on services. With AV services representing about 50% of the total spend at a corporate event, having this offering in-house has strengthened our value proposition with current and prospective clients. And while we are realizing the benefits of this acquisition as it relates to corporate event market share gains. We still have some work to do to maximize the opportunities it presents more specifically, we are getting better at capacity planning across the U.S. to ensure we're able to deploy the right equipment in the right place at the right time to minimize the cost of cross rentals. We're accomplishing this through-system integration and expansion of our asset base. Historically on services has held a strong footprint in the Southeast. Last year we established a West Coast presence by securing a contract to be the in-house provider at the San Diego Convention Center. And in its next few months, we will be opening a new facility in Phoenix that will enable us to more efficiently service events in Las Vegas and other Western cities. Additionally, we're aligning our AV sales team against the best live event opportunities for our company as a whole. This means moving away from live entertainment projects, which historically have accounted for a portion of on services revenue to enable an even greater focus on corporate events and conferences where we can more effectively leverage our full suite of services. Overall, we've made good progress against our growth strategy this year. As we enter another year where we are facing negative show rotation. We are sharply focused on driving productivity gains, while we continue to selectively invest in key areas that will accelerate our growth in the corporate events and expand our relationship with existing clients. Now, switching gears to Pursuit. Pursuit delivered strong financial performance during 2018 while also undertaking numerous growth projects that will come online later this year. For the full year, organic revenue grew a solid 7.6% despite the impact of forest fires that hurt park visitation during our peak season. Our team did an excellent job of leveraging our recent refresh investments to drive growth and profitability through revenue management initiatives across our attractions and hospitality assets. Our key performance indicators improved year-over-year. We realized an increase in same-store revenue per passenger of 7.7% at our attractions, driven both by a higher effective ticket price as well as increased revenue from our food and beverage and retail offerings. Our hospitality assets also performed well, with same-store RevPAR growth of 2.9%, which does not include our recently refreshed Mount Royal Hotel that opened in July of 2018. I'm pleased to report that guest feedback and reviews for the Mount Royal Hotel have been extremely favorable and the property is already listed as the #2 most popular hotel in the Banff market, according to TripAdvisor. In addition, we have realized significantly higher RevPAR, which was up nearly 30% compared to its pre-renovation performance during the same period in 2016.  Pursuit's strong performance this year is a testament to our Refresh Build, Buy strategy and revenue management initiatives, which continue to add scale to the business while driving high returns. In continued support of our strategy, we have many projects underway across Pursuit's various collections that will accelerate our growth in 2019 and beyond. In the Alaska collection, we are preparing to open 36 additional rooms this season at the Seward Windsong Lodge, which increases our bed base near our popular Kenai Fjords boat tour attraction. In the Glacier collection, we are in the final stretches of constructing a new RV park, and cabin village in West Glacier that will open in July. This RV park is ideally situated at the west entrance of Glacier National Park, and adjacent to our existing amenities in West Glacier, which include various dining and retail outlets. In the Banff Jasper Collection, we have a number of refresh projects taking place primarily in the Jasper market. One is the reimagining of our 32-room Glacier View Inn at the Columbia Icefield, which will be rebranded and renovated to provide a premium all-inclusive hospitality experience. Our overnight guests will enjoy exclusive activities at our nearby Glacier Adventure and Glacier Skywalk attractions, along with unique dining experiences and entertainment.  Further north in Jasper, near our Maligne Lake boat tour attraction, we are investing to upgrade our food and beverage offering at both Maligne Canyon and Maligne Lake. The new Maligne Canyon wilderness kitchen will offer a new smokehouse-inspired menu, with views of the scenic Maligne River. And at the Maligne Lake Chalet, we will be introducing a fantastic new indoor, outdoor dining space for guests to enjoy a special meal or cocktail with an incredible view of picturesque Maligne Lake. Finally, in the FlyOver collection, we are underway with some great improvement to the exterior structure of FlyOver Canada. We have a prime location at the end of Canada Place peer in downtown, Vancouver. We're making improvements to provide a better sense of arrival for our guests, along with the addition of new dining and retail space. Additionally, our new FlyOver Iceland attraction is on track to open this summer. With the film footage captured and construction almost complete, we are excited to unveil this fantastic new attraction. The building looks stunning and it's already getting great feedback to the local community and press. We look forward to replicating the success we had at the FlyOver Canada. In summary, it was a strong year of progress against our strategy at Pursuit. And with multiple growth drivers in place, we are looking forward to an even better year in 2019. And we continue to actively pursue additional organic growth projects and acquisitions to continue to scale Pursuit's high-margin collection of iconic experiences. And now, I'll turn it over to Ellen to provide more color on our financials. Ellen?
Ellen Ingersoll: Thank, Steve. For the fourth quarter, we posted a loss before other items of $0.09 per share on revenue of $296.9 million, adjusted segment EBITDA of $16.5 million and adjusted segment operating income of $4.1 million. As Steve mentioned earlier, these results were better than prior year, reflecting stronger financial results from both business units. GES posted fourth quarter revenue of $281.8 million, adjusted segment EBITDA of $17.9 million and adjusted segment operating income of $8.9 million. Revenue growth came in stronger than we anticipated. As compared to the 2017 fourth quarter revenue was up $18.8 million. On an organic basis, which excludes the impact of unfavorable exchange rate variances, the revenue increase was $20.6 million or 7.8%. The growth in revenue is primarily due to positive share rotation of about $8 million increased revenue for our corporate clients, same-store growth and new business wins. GES's adjusted segment EBITDA and adjusted segment operating income increased by $6.3 million and $6.6 million respectively from the 2017 fourth quarter. These improvements primarily reflect higher revenue and lower performance-based incentives. Pursuit posted fourth quarter revenue of $15.2 million, adjusted segment EBITDA of negative $1.4 million and adjusted segment operating loss of $4.7 million during a seasonally slow fourth quarter, as compared to the 2017 fourth quarter revenue was up $870,000. The organic revenue increase, which excludes unfavorable exchange rate variances was $1.4 million or 10% driven mainly by the reopening of the Mount Royal Hotel as well as our revenue management and refresh efforts. Pursuit fourth quarter adjusted segment EBITDA improved by $1 million on an organic basis and adjusted segment operating results increased by $825,000 also on an organic basis. These results primarily reflects strong flow through on the revenue growth we realized during the quarter. For the full year, our income before other items was $2.34 per share on revenue of $1.3 billion. Adjusted segment EBITDA was $146.3 million and adjusted segment operating income was $89.7 million. As compared to 2017 our consolidated full-year revenue decreased $10.8 million or 0.8%. Adjusted segment EBITDA decreased by $7.9 million and adjusted segment operating income decreased by $9.6 million. These declines were primarily driven by negative show rotation revenue at GES. Now moving on to the business group results. GES posted full-year revenue of $1.1 billion adjusted segment EBITDA of $77.7 million and adjusted segment operating income of $39.8 million. As compared to 2017 revenue declined $22.2 million or $29.9 million on an organic basis, which excludes the impact of favorable exchange rate variances. U.S. segment organic revenue decreased $24.9 million or 2.9% driven by negative show rotation revenue of about $27 million. We also realized 22.8% growth in our U.S. based same-show revenue, which represented 33.8% of U.S. revenue during the year. Organic revenue for GES's International segment decreased $9.3 million or 3.3% primarily due to negative show rotation of approximately $8 million. GES is adjusted segment EBITDA and adjusted segment operating income decreased $10.5 million and $11.1 million respectively from 2017. These declines were primarily driven by lower revenue, partially offset by a reduction in performance-based incentives. Additionally, GES's 2017 results included non-recurring income of $2.8 million related to a contract settlement. Pursuit posted full year revenue of $185.3 million, adjusted segment EBITDA of $68.6 million and adjusted segment operating income of $49.9 million. As compared to 2017, revenue increased $11.4 million. The organic revenue increase, which excludes unfavorable exchange rate variances was $13.3 million or 7.6% driven mainly by growth from our attraction and hospitality assets through a combination of our revenue management efforts and investments to enhance the guest experience. Our Mount Royal Hotel which reopened in July after being closed due to fire damage in December 2016, contributed incremental revenue of about $4 million. As Steve mentioned earlier, we are realizing much higher RevPAR at the Mount Royal Hotel as compared to its pre-renovation state with very positive guest reviews.  Pursuit's adjusted segment EBITDA increased by $4.2 million on an organic basis, primarily due to higher revenue. Adjusted segment operating income increased by $3.1 million on an organic basis, reflecting higher depreciation expense, primarily related to reconstruction of the Mount Royal Hotel. Now I'll cover some cash flow and balance sheet items before discussing 2019 guidance. Viad's full year consolidated cash flow from operations was $87 million versus $112.2 million in 2017. The decline was primarily due to changes in working capital. Capital expenditures totaled $85.5 million, up from $56.6 in 2017, primarily due to investments at Pursuit including the development of FlyOver Iceland, the construction of the West Glacier RV Park and the rebuilding of the Mount Royal Hotel. We repurchased approximately 340,00 shares during '18 including approximately 165,000 shares during the fourth quarter. The aggregate full year purchase price was $17.2 million, which is an average of $50.44 per share. Also, our Board of Directors authorized repurchase of an additional 500,000 shares, bringing our total authorization to about 600,000 shares. Well high return growth investments remain our first priority for capital allocation. This additional share repurchase authorization will enable us to continue to opportunistically buyback our stock at attractive valuation. At December 31st, our cash and cash equivalents totaled $44.9 million, our debt was $232.4 million and our debt-to-capital ratio was 34%. Now moving on to guidance. For the first quarter, we're expecting a loss per share of $0.75 to $0.85 as compared to a loss before other items of $0.49 in the 2018 quarter. This change primarily reflects negative share rotation at GES as well as higher performance-based incentives expense and additional resources to drive growth and profitability in high-value areas within GES and Pursuit.  For GES, we expect fourth quarter revenue to be in the range of $260 million to $270 million as compared to $267.7 million in the 2018 quarter. We expect a revenue headwind of about $8 million from a combination of share rotation and exchange rate variances, to be at least partially offset by same-show growth and new business wins. We expect GES' adjusted segment operating income to decrease by approximately $2 million to $4 million reflecting higher performance-based incentive expense and additional resources to drive growth and profitability in high-value areas.  For Pursuit, we expect revenue to be essentially flat to up about $2 million during a seasonally slow first quarter, with a decline in adjusted segment operating results of about $2 million to $4 million. The larger operating loss primarily reflects additional depreciation expense of about $2 million and additional cost to support continued growth of the business as well as the timing of certain expenses.  For the full year 2019, we expect consolidated revenue to increase at a mid-single-digit rate from 2018, with an increase in adjusted segment EBITDA of approximately $6 million to $12 million. Depreciation and amortization expense is expected to increase by $3 million to $5 million, primarily as a result of the reopening of the Mount Royal Hotel and other capital investments to support growth and efficiency gains. Adjusted segment operating income is expected to be in the range of $92 million to $98 million as compared to $89.7 million in 2018. Our guidance assumes exchange rates of $0.77 for the Canadian dollar and $1.30 for the British pound, based on those rates, exchange rate variances versus 2018 are expected to have a negative impact of about $5 million on consolidated revenue, a positive impact of about $500,000 on adjusted segment operating income and a positive impact on income per share of about $0.01. A $0.01 change in the Canadian dollar would affect our full year revenue by about $2.5 million and a $0.01 change in the British pound would affect our full year revenue by about $1.5 million. At GES, full year revenue is expected to increase at a low single-digit rate from 2018, with comparable EBITDA. We expect continued same-show growth and new business wins to offset an expected revenue headwind of about $30 million from the combination of share rotation and exchange rate variances. At Pursuit, we expect full year revenue to grow by 15% to 17% from 2018 with an increase in adjusted segment EBITDA of about $7.5 million to $10.5 million. This guidance includes approximately $15 million to $17 million of new revenue from various investments we are making, such as the development of the FlyOver Iceland attraction and the West Glacier RV park. And the renovations of other assets that Steve discussed earlier.  On a same-store basis we expect Pursuit's revenue to grow at a mid-single-digit rate, reflecting our ongoing revenue management effort. Additionally, I want to point out the start-up costs related to the development of our FlyOver Iceland attraction which is expected to open this summer, are not included in these guidance ranges. FlyOver Iceland start-up costs are expected to approximate $1 million during 2019 and will be excluded from our adjusted segment EBITDA, adjusted segment operating income and income before other items. We expect our full year cash flow from operations to be in the range of $110 million to $120 million, and we expect capital expenditures to be in the range of $75 million to $80 million, which includes approximately $30 million of growth CapEx at Pursuit and about $10 million of growth CapEx at GES. Additional 2019 guidance can be found in the earnings press release. And one final item I wanted to touch on before I turn it back to Steve is the status of our negotiations with the Chicago Teamsters. We are currently working with union leadership to finalize the terms of a new collective-bargaining agreement that includes the withdrawal from the Central States pension plans. This defined benefit pension plan has been designated under the Pension Protection Act, as being in critical and declining funding status. We and the Chicago Teamsters union leadership believe it is in our collective best interest to withdraw from the Central States plan and redirect future pension contributions to a new plan. We are still working our way through the complexities of this transition. Assuming the withdrawal takes place, it will trigger a withdrawal liability that is currently estimated at a net present value of approximately $14 million payable over the next 20 years. And with that, I'll turn it back to Steve.
Steve Moster : Thanks, Ellen. In closing, we have some real bright spots in 2018, as well as some areas that didn't go as well as we wanted. GES had some revenue visibility challenges with short-term bookings that came up lower than expected in the third quarter, but finished the year strong, finish the year with a strong fourth quarter revenue growth. Pursuit was pacing for a very strong 2018, until heavy smoke from forest fires, hampered visitation during the peak season. Nonetheless, Pursuit delivered 7.6% organic growth. I'm proud of our team for their great efforts during 2018, to overcome challenges and stayed focused on our key opportunities. Both business groups continue to make progress toward our strategic goals during 2018 and focused on expanding our offering to accelerate our future growth and profitability. There are many positive changes we are driving in both business units and we're excited about our prospects for 2019. Pursuit's growth will be amplified, but the various investments we've been making and continue to make, to expand and enhance our collection of experiences. At GES, we continue to align our resources against key growth areas, while also focusing on margin improvement actions. Additionally, we have a solid pipeline of acquisitions and new growth opportunities that we are actively pursuing. I want to thank the entire Viad team for their dedication to driving long-term shareholder values. I'm confident in our strategy and I'm excited about the many opportunities that lie ahead for our company. And with that, let's open up the call for questions. Nikki, can you please open the call.
Operator: Thank you very much sir, and absolutely. Now we will begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Faisel Khan [ph]. Your line is open.
Unidentified Analyst: Hi, how are you doing today?
Steve Moster: Good. How are you doing Pablo?
Unidentified Analyst: Good. I just wanted to have a couple of follow-up questions about the Pursuit business. So, earlier this year, there was the government shutdown and the National Parks were affected by that. Did you guys see any negative effect on Pursuit's, because of the government shutdown that happened and may happen in a few days?
Steve Moster: Yes, Faisel, [ph] right now in the U.S. market, we're near National Parks. Those National Parks are closed for the season. And they won't be reopening until later this spring. So we were not immediately impacted by the government shutdown that happened in January. And, we'll have to see what happens or how long if there is another government shutdown.
Unidentified Analyst: Okay. And for the GES, a few days ago I saw numbers that the number of attendance to show has been decreasing for the last few quarters, and it may continue decreasing throughout the year. So, I was wondering what's, what do you think of that's going to have a negative impact on the show rotation and shows in the upcoming years in 2019 and 2020?
Steve Moster: Well, I think the, there are some fluctuation around the attendance numbers for some key shares that take place every year. Fortunately, our revenue is more tied to the size of the event. So what's most important to us is the net square footage of the events that take place, that's more, there is a stronger correlation to our revenue based on the next square footage. So, while we think the attendance number is important, a more important number for our business is really the size of the event.
Unidentified Analyst: Okay. And as I remember, you guys were direct a few acquisitions to increase margins like to provide additional services to the shows. Are you planning on any additional acquisition this upcoming year continue to drive margin in the GES business?
Steve Moster: Yes, Faisel, we continue to have an active pipeline of M&A as well as organic growth opportunities for both businesses really. On the GES side, it is geared more toward higher margin services that really round out our comprehensive suite of services focused both on show organizer and corporate marketers. So yes, we will continue to look at opportunity that we have in our pipeline for both businesses.
Unidentified Analyst: Okay. Perfect. Thank you.
Steve Moster: Thanks, Pablo.
Operator: Thank you. Our next question comes from the line of Tyler Batory. Your line is open.
Tyler Batory: Thank you. Good afternoon, everyone. Few questions from me. First, just wanted to touch on guidance. And Steve, I appreciate the commentary on the cost side of things and GES in the fourth quarter, but you talk a little bit more about your expectations on a cost side of things in that business for 2019, I mean you highlighted few of the issues and we're not going on in the fourth quarter, I mean, do you think you can make some improvements on those, you kind of rolling forward some of that into next year?
Steve Moster: No. Tyler. Thanks for the question. We can make improvements and we anticipate making improvements on some of those issues that we experienced in the fourth quarter. Some of them were one time issues around labor availability and some medical claims and things like that. It's in our plans to do better than we did in the fourth quarter and so we think that we can overcome some of those challenges that we had.
Tyler Batory: And then on the Pursuit side of things, looking in 2019, if I can do the math, at the midpoint it looks like you guys have gotten the margin down year-over-year. Can you talk a little bit about what you're seeing on the cost side there? And obviously you have some new projects ramping up. Are there incremental startup costs that are associated with some of those?
Steve Moster: There are. So in 2019, obviously we're bringing on some new experiences, whether that's FlyOver Canada -- I'm sorry, FlyOver Iceland or some of the renovation projects that we have. So those are starting in the year. We think that there are some startup cost associated with those that may impact full year numbers. But again, we see strong returns from the investments we're making on the Pursuit side of business.
Ellen Ingersoll: And I guess I'll just mention too that with the Mount Royal Hotel, it didn't open until July. So the first half of the year, we had business interruption proceeds. So we had essentially operating income with no revenue, that affected the margin a bit as well, higher in '18.
Tyler Batory: Okay. Got it. That's helpful. And then I wanted to ask about what you guys said about the same-show growth, I mean if you're looking at low single digits for '19. I think in the past you had talked about mid-single digits. Can you talk a little bit about what's going on with the delta there and maybe generally what you're seeing in the industry?
Steve Moster: Yes. We are guiding towards low single digits for 2019. On previous calls, we've talked about a couple of industries that have seen lower-than-expected growth, specifically in retail and in the auto industry. And we could -- we believe that those trends will continue, going into 2019. But we see it captured within those few industries and not an overall market decline.
Tyler Batory: Okay. Got it. And then maybe the last one for me. Obviously the short-term bookings seem to be an issue in the third quarter, you talked about some strengths in the fourth quarter on that. Has that continued here into 2019? I think in the past, you talked about 2019 being a fresh start with respect to those. Is that still some of what you're expecting?
Steve Moster: Yes. Every year is a fresh start with some of our short-term bookings because those are projects that are not contracted before you enter into the year. So we had some visibility issues between Q3 and Q4 on short-term bookings. I'm happy where we ended up on a full year basis. But we need to get better at the visibility of what that revenue looks like in our forecasting.
Tyler Batory: Okay, great. That’s all for me. Thank you. 
Operator: Thank you. Our next question comes from the line of Marco Rodriguez. Your line is open.
Marco Rodriguez: Good afternoon guys, thank you for taking my questions. I wanted to start on GES here a little bit. Maybe if you can talk a little bit more on the corporate events and the AV side of things. You mentioned that obviously your strategy is pushing more towards that type of revenue for margin expansion. Maybe if you can talk about more specifics as far as what sort of strategic initiatives or sales and marketing efforts you might have in place for fiscal '19 to drive those areas?
Steve Moster: We talked a little bit about the new brand that we're bringing on in 2019, from a corporate branding perspective. So we feel like we have some good growth in our sales initiative in the way we are aligning our sales team to go after those opportunities.  From a margin perspective, I highlighted during the call that we're opening up an audiovisual office on the West Coast, here in Phoenix. And that will really help us lower our cost of executing projects for our clients. I think during the call, I also mentioned in historically we've been located primarily in the Southeast. And so our transportation costs and our equipment being out of inventory for longer periods, when we do projects on the West Coast was always hurting our margins. This will allow us to improve that margin.  Additionally, Marco, I would add that in addition to having kind of our sales aligned, and how during some activity to improve the margins of that business. We're also adding resources in areas that we think will help grow our sales, and that's around the creative support, analytics, and insights support that really will help us work hand in hand with our client, our corporate clients in their strategy in the planning for their events.
Marco Rodriguez: Understood, and that kind of brings up the next question. You had mentioned in your prepared remarks that I guess recently or maybe this fiscal year, you started to get involved in more Planning and Strategy discussions with your clients. I would have assumed that there would have been some level of discussion prior to this, but it kind of sounds like this is becoming a bigger thing, and hence a better driver of revenue and our margin for you guys, can you talk a little bit more about that, and what sort of changing there?
Steve Moster: Sure. As part of our growth strategy, that we've had in place now for several years. Our goal is always been to move further upstream and get closer to our clients as they perform their strategy of how to activate their brands and how to bring their brands to life, whether that's at a trade show or at a corporate event.  We've made a number of acquisitions, and other internal investments in order to position ourselves to really have those conversations. What we're highlighting now is we're really seeing that, really come to fruition, where we are in with our clients discussing how to activate their brands, where is the best return for their money with the audiences that they have. So, I'm excited about the progress we've made. I don't want to make it sound like it's been a one-year, light switch. This has been something that we've been working at for a while, and we felt like it was important to, to talk about it today, because we have seen an improvement in it.
Marco Rodriguez: Got it. Last quick question here on Pursuit. You had mentioned an incremental $15 million to $17 million in fiscal '19 from the Refresh, Build, Buy type strategy. Obviously there are some new properties you have coming online here in fiscal '19 you also identified some refresh opportunities, as well. Could you maybe kind of rank the projects, from top to bottom there in terms of their impact on that, $15 million to $17 million incremental revenue for '19?
Steve Moster: I think, there are a number of projects in there as we've talked about through the call. They're all meaningful size projects, I don't know if I have a specific ranking, that would be able to share with you, I think what's more important is that, we're across all of them we're delivering a consistent guest experience that's elevated from where we've been in the past, and that's going to help us, and that's going to help us in the overall markets that we serve. I think one of our largest investments market would be really the FlyOver Iceland experience. So, if I had to give you a number one, I think Iceland would probably be the, the largest investment we made with, return. Additionally, I would add that, put a lot of money into projects that are around the Jasper area. So again, you look at the Glacier View Inn, renovation which is now going to be the Glacier View launch, as well as the, the Maligne Canyon projects. Those collectively, are also a strong return for us and high, high expectations.
Operator: Thank you. Our next question comes from the line of Steve O'Hara. Your line is open.
Steve O’Hara: Yes, hi. Good afternoon.
Steve Moster: Hi, Steve.
Steve O’Hara: Thanks for taking the question. Can you just talk about, not sure if you mentioned this, but in terms of the growth expected within Pursuit? How much of that is the new projects versus, you know maybe improve visitation, and then kind of, if you had kind of the deficit last year would be forest fires? What are you expecting this year, in terms of I guess what's organic versus, maybe the catch-up from last year, and the new projects?
Steve Moster: Well, I think we've outlined that the new projects we believe will drive somewhere between $15 million and $17 million of revenue in 2019. So, the other pieces there's combinations of whether it's, not having the forest fires in 2019, and increased visitation or our revenue management. We believe that it will be in the mid-single digit organic growth. So, Steve, I guess to answer your question you have mid organic, mid single-digit organic growth and on top of that you have some of these refreshed projects or build projects like the FlyOver Iceland adding somewhere between $15 and $17 million of revenue, also.
Ellen Ingersoll: And just one further point, I'm going to add Steve and kind of going back to the prior question that Marco had, FlyOver Iceland is one of the premier projects. The 19th impact on EBITDA is not going to be, it's mid-year it's not going to be a high impact project, but it is a big revenue driver and there's many other projects in there like The Seward Windsong Lodge, The RV park, I mean there's a lot of projects that will contribute to the EBITDA of '19. I just wanted to clarify that.
Steve Moster: Thanks, Ellen.
Steve O’Hara: Okay. Thank you. And then just, it just is 2019 kind of the trough year? It looks like, I don't think any of the major shows happened in 2019. And I'm just wondering what the last year that may be look like this was, I think it's 2015, but maybe I'm wrong there. And I mean, it looks like you've had very, in terms of versus 2015 I mean, you have much better earnings performance, it looks like expect to grow 2019 versus kind of the previous trough year. And I know there has been acquisitions, things like that, but do you feel like you're, I guess, first, is that trough idea, correct? And then if you can talk about maybe the, what you've done to kind of make it less kind of volatile in terms of the impact in these shows, year-to-year?
Steve Moster: Yes, thanks, Steve. So you're correct. We, the large non-annual shows do not occur in 2019. As you remember they set up on either a two or three or in every four year cycle depending on the show, which means they actually all will occur in 2020, but they did not occur in 2019. A similar year is 2015 when there is similar dynamics, and our business has changed a lot from 2015 to 2019. There have been a number of initiatives, whether it's some of the acquisitions that we've made over that time period, whether it's some of the structural changes we've made to how we service our clients to lower our cost basis. So there's been a number of changes, but the comparison is an accurate one between '15 and '19.
Operator: The next question comes from the line of Jamie Yackow.
Jamie Yackow: Hey guys, good afternoon. Just a couple for me. Can you guys -- I may have missed it, but can you give us a little more detail on the growth CapEx for each of the segments for 2019?
Steve Moster: Sure. Let me just grab it.
Ellen Ingersoll: I don't -- just 1 second, Jamie. If you have another question, we can go to that and I can come back to you.
Jamie Yackow: Sure. Yes, I guess I'm just wondering, can you give us an update on the share repurchase activity in 2019?
Ellen Ingersoll: So we have a new authorization that I talked about, and we will be -- the same kind of strategy that we have been, we're concentrating on growth. But we will opportunistically do share repurchases, and now we have the authority to do that. We were running low, as you saw towards the end of last year, so now we have about 600,000.
Jamie Yackow: Right. Have you guys been actively in the market? Or have you not repurchased any shares year-to-date?
Ellen Ingersoll: Well, we haven't repurchased -- what we repurchased in the fourth quarter was it, because then the quiet period started. So we have not repurchased in '19 yet, but we did repurchase in the fourth quarter, 165,000 shares. And then back to the growth CapEx, I think we talked about a lot of them, but -- it's FlyOver Iceland, it's the Maligne Lake and Canyon F&B, the RV park, the Seward Windsong Lodge expansion, I think the Glacier View Lodge renovation was another one.
Jamie Yackow: Wasn't the majority of those dollars spent in 2018 though? Are there other projects that...
Ellen Ingersoll: No. That'll be about $20 million in capital in '19. Some of them have been start yes, for sure. But they continue into '19.
Jamie Yackow: Okay. And on the GES side?
Steve Moster: On the GES side, you have some investments around lowering our cost of fabrication. So we're opening a fabrication facility in Poland, which will enable our EMEA team to provide exhibit building and fabrication at a significantly lower cost than what we're doing today. We're also -- there's some capital put towards the Phoenix office for ON Services. Again, to lower our fulfillment cost and lower cross rentals. There is a major project around facility consolidation in Las Vegas, where we will be combining 2 facilities into one of our existing facilities. And there is a number of other projects that we're doing that will allow us to lower the cost of executing some of our shows by simplifying, simplifying some of the organizer elements things like counters and entrance units.
Jamie Yackow: Got it. And then I guess just lastly the 1% same show growth seemed a little light relative to where you guys have been running, was there anything unusual one show that maybe was a little weaker? And if anything kind of point to?
Steve Moster: Sure. There is a single show it's an auto shows and it's kind of what we've talked about it and our Q3 remarks that we saw the softness around this one event, if you pull that out you're in the roughly 3% same show growth range.
Operator: Thank you. At this time, we don't have any questions on queue. [Operator Instructions] There are no incoming questions, speakers, you may continue.
Steve Moster : All right. Thanks, Nikki. Thanks for your questions and your interest in Viad. We look forward to speaking with you again next quarter. Take care.
Operator: And that concludes the Viad Corp fourth quarter earnings conference call. Thank you all for joining. You may now disconnect.